Operator: Greetings and welcome to the CBRE Third Quarter Earnings Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions]. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Brad Burke, Investor Relations. Thank you. You may begin.
Brad Burke : Thank you, and welcome the CBRE's third quarter 2018 earnings conference call. Earlier today, we issued a press release announcing our financial results and it is posted on our website, cbre.com. On the Investor Relations page of our website, you will find a presentation slide deck that you can use to follow along with our prepared remarks. This presentation contains forward-looking statements. These include statements regarding CBRE's future growth momentum, operations, market share, business outlook, investment levels and financial performance expectations. These statements should be considered estimates only and actual results may ultimately differ from these estimates. For a full discussion of the risks and other factors that may impact these forward-looking statements, please refer to our third quarter 2018 earnings report furnished on Form 8-K and our most recent annual and quarterly reports filed on Form 10-K and Form 10-Q. During our remarks, we may refer to certain non-GAAP financial measures, as defined by SEC regulations. Where required by these regulations, we have provided reconciliations to what we believe are the most directly comparable GAAP measures. These reconciliations together with explanations of these measures can be found within the appendix of this presentation. Additionally, all growth rate percentages cited in our remarks are in local currency unless otherwise stated. Please turn to Slide 3. Participating on our call today are Bob Sulentic, our President and Chief Executive Officer; and Jim Groch, our Chief Financial Officer and Head of Corporate Development. Now, please turn to Slide 4, as I turn the call over to Bob.
Bob Sulentic : Thank you, Brad and good morning, everyone. This is an exciting time for CBRE. We continue to advance the company on multiple fronts, while driving strong results for our clients and shareholders. As you've seen from our press release, we delivered double-digit increases on the top and bottom lines. The 14% fee revenue growth was led by particularly strong performance from our leasing business. This is reflective of deep relationships with our large occupier client base and our ability to attract the industry's top professionals to our increasingly differentiated operating platform. Occupier outsourcing again had excellent growth fueled by the secular shift toward outsourcing and CBRE's globally integrated capabilities. Our development services business had another strong quarter and is on track for record profits in 2018. I also want to comment on two important strategic initiatives that should have a big impact on CBRE. The first is the reorganization of the company, which we announced in August. We have clarified lines of authority for our management team, which will increase accountability, introduced operational and cost efficiencies and enhanced business line quality across our business. This new structure will also increase financial transparency for our company, and we hope promote greater transparency across our sector. The second initiative was the introduction yesterday of our flexible office space offering called Hana. This service evolved from a tremendous amount of interaction with and encouragement from our clients. Our deep relationships with property investors and occupiers, and what we have learned from our workplace experience service CBRE 360 position us well to succeed with this new offering. Hana is perfectly suited for property owners, who believe they can add value to their buildings with the flexible space solution that keeps them in control of their assets and for companies that want more flexibility in their occupancy to meet changing business needs and create a better workplace experience for their people. This is a rapidly expanding market that could comprise 5% to 10% of the total occupied space within a decade. We have assembled an exceptional team to capture this opportunity and kicked off our marketing efforts yesterday with a robust deal pipeline. Hana will operate, as part of our real estate investments business beginning in 2019. Now, Jim will take you through our third quarter in detail.
Jim Groch : Thank you, Bob. As Bob noted CBRE delivered another quarter of strong growth. Fee revenue increased 14% driven by 10% organic growth. Adjusted EBITDA rose 12% and adjusted EPS grew by 22% both in US dollars. Fee revenue for our combined regional services business increased by 13% with adjusted EBITDA increasing 6% both in US dollars. Adjusted EBITDA margin on fee revenue for our regional business declined one percentage point versus the prior year quarter to 15% consistent with our guidance at the beginning of the year. As you will recall, we outlined a significant investment program for 2018, as we reinvested the savings associated with tax reform, but for these investments, adjusted EBITDA would have grown faster than fee revenue. Additionally, adjusted EBITDA margins on fee revenue for our regional services business would have been approximately 40 basis points higher, absent the impact of FX and the acquisition of lower margin, but typically high growth outsourcing businesses. The impact of FX notable in Asia-Pacific, where adjusted EBITDA would have increased by 7% excluding all FX effects rather than declined by 4% in US dollars. I do want to emphasize that we continue to expect positive operating leverage in our regional services business in 2019. I should also highlight that we continue to expect a record adjusted net income margin on fee revenue for full year 2018. For Q3, 2018, our adjusted net income margin on fee revenue increased by 80 basis points to 10.3% versus Q3 of the prior year. Below the line, our tax rate of 23.5% for the quarter resulted in a $4 million reduction to tax expense versus the prior year, while depreciation and amortization expense increased by $11 million. M&A was active in the quarter. We completed four acquisitions, highlighted by the purchase of the remaining 50% ownership in our long-standing joint venture CBRE/New England, the leading provider of commercial real estate services in Boston and throughout New England. Slide 6 shows our revenue growth by line of business for Q3. Leasing realized double-digit revenue increase across all three regions. Leasing in the Americas grew 19%, with 15% organic growth on top of 14% overall growth in the prior year. Strong performance was broad based across countries, property types and varying transaction sizes. In EMEA, leasing growth of 18% was paced by France and the UK. Leasing rose 16% in Asia-Pacific against a tough comparison, helped by several large deals in Greater China. Our debt businesses again posted strong growth with commercial mortgage origination revenue up 22% and loan servicing revenue up 21% on a portfolio that grew to a record $196 billion. Growth was particularly strong in multi-family lending. Global property sales revenue rose 5% led by EMEA up 24%. Germany was a standout in the quarter driving over half the growth in property sales revenue versus the prior year. We also saw double-digit growth in our UK business, which continues to benefit from inbound foreign capital. Double-digit growth in UK property sales and leasing speaks to our ability to gain market share, despite the uncertainties around Brexit. Americas property sales growth of 2% was paced by a 7% increase in the United States, offset by weakness in Canada and Latin America, which both experienced exceptional growth in the prior year Q3. In Asia Pacific, sales revenue declined 5% versus a very difficult prior year comparison. Property management fee revenue growth of 8% was supported by continued double-digit growth in our outsourced accounting and reporting offering, which we discussed briefly during our Investor Day. Slide 7 highlights our occupier outsourcing business. Fee revenue increased 16% globally and all three regions produced mid-teens growth in local currency. We also had another particularly active quarter of client wins and expansions. This quarter, I'd like to highlight CBRE's continued inroads in the management of critical facilities such as data center operations. Our data center management offering is set to grow revenue by over 50% in 2018. CBRE's data center initiatives fit squarely in our outsourcing wheelhouse. Managing data center facilities requires a proven track record and deep technical expertise. Additional -- additionally data center owners increasingly desire multi-market solutions requiring the ability to execute at scale. CBRE manages approximately 75 million square feet of data centers around the world. By example, Lincoln Rackhouse, a rapidly growing data center business recently retained CBRE to manage data centers in key US markets. Our role is to manage the daily operations of the facilities, perform preventive maintenance on critical systems and manage capital projects. In selecting CBRE, Lincoln Rackhouse cited our knowledge of mission critical facilities, strategic insight, speed to market and consistent execution. This business is also highly synergistic with our specialized data center transaction business and has excellent momentum and a robust pipeline. Slide 8 summarizes the results for our Global Investment Management segment. This business raised a record $4.1 billion of capital in the quarter and $10.7 billion over the last four quarters. Assets under management increased by approximately $3 billion from the prior quarter. Adjusted EBITDA totaled approximately $11 million versus $23 million in the prior year. The decline in financial performance was primarily impacted by the following three items. First, our public securities business remains under pressure from a continued industry-wide shift in investor preference toward passive investment vehicles. Second, Q3 EBITDA was negatively impacted by $4.5 million charge, resulting from a legacy employment agreement associated with the valuation of our public securities business. We do not expect a similar related expense going forward. Finally, we have invested in new talent, and new offerings to drive future growth. Specifically, we have built a new team to raise and manage the debt funds, and have also invested in new talent to expand our overall fundraising capability. Compensation expense associated with such activities as incurred upfront, while the revenue from additional assets under management will follow in future periods. Though is a challenging quarter for this business, we continue to drive strong performance for our investors and they in turn, trust us to manage more of their assets. We are keenly focused on improving the long-term profitability of this business and we expect better financial performance over the next four quarters. Slide 9 summarizes the results for our Development Services segment. Development Services, which operates under Trammell Crow Company is a high quality business with relatively modest capital, where debt guarantees at risk. A valuable brand often recognized as the top developer in the US and a differentiated and defensible strategy. Our combined in-process and pipeline portfolio once again reached a record totaling $12.4 billion. EBITDA of $77 million in Q3 was driven by a couple of larger than normal asset sales, while this EBITDA can be volatile on a quarter-to-quarter basis, Development Services has consistently contributed to our profitability with adjusted EBITDA since 2008 totaling just over $800 million. Before I turn the call back over to Bob, I want to note that instead of providing our detailed 2019 guidance, when we report Q4 results, we will do so three weeks later at our Investor Day on March 7th in New York City. At that time, we will walk through the financial details of our new reporting segments, as that is the basis, we will be using to give guidance going forward. Now, please turn to Slide 10 for Bob's closing remarks.
Bob Sulentic: Thank you, Jim. Before opening the call for questions, I want to take a moment to address the broader economic environment. Investors have clearly been concerned about the effects of higher interest rates and trade tensions. However, commercial real estate fundamentals have been resilient in the face of higher rates. There is more than ample debt and equity capital available for commercial real estate and cap rates have not increased in any meaningful way. As we've often noted, interest rates are important, but the more important drivers of our business are underlying economic growth, job creation, capital availability and overall allocations to the commercial real estate asset class. These drivers remain favorable, as evidenced by our results this quarter. In addition, escalating trade tensions do not appear to be impacting our overall business. However, continued escalation could impact business sentiment, most notably for select markets in Asia, which combined, typically represent approximately 2% of our adjusted EBITDA. Given our strong performance year-to-date and our favorable business outlook, we anticipate full year 2018, adjusted EPS coming in at the high end of our guidance, which we increased last quarter to a range of $3.10 per share to $3.20 per share. With that operator, we'll open the line for questions.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions]. Our first question comes from the line of Anthony Paolone with JPMorgan. Please proceed with your question.
Anthony Paolone : Thank you, and good morning. My first question is with regards to the margins in the regional businesses. Can you just talk to just what the order of magnitude is in dollar terms that you've been spending like for instance in the third quarter that was a drag on margins, and how to think about that either going away or this is the new baseline or how that works going forward?
Jim Groch : Sure. Anthony, this is Jim. How are you today?
Anthony Paolone : Great. Thanks.
Jim Groch : Yes. The margin -- so I guess, the first thing I'd say is on the investments we've done exactly what we said we were going to do at the beginning of the year. We've reinvested the savings from tax reform back into the business, into our people, technology, cost savings initiatives and initiatives to drive growth. The total incremental -- the total cost of these in Q3 had a little over $30 million impact on EBITDA. So without those investments, EBITDA growth would have been in the mid teens. As far as how to think about that going forward, I think thinking about these investments as more of a baseline within the business is the right way to think about it.
Anthony Paolone : Okay. Got it. And then if I look across particularly like investment sales and probably leasing as well, it seems like the percentage growth was very good in Europe, particularly and like the US against the RCA data. So I'm just curious how much of that you think is market share gains versus things like buyer or user representation or just doing other sorts of things that are driving growth?
Bob Sulentic : Yes. Tony, it's Bob. Well, you mentioned both capital markets and leasing, now, I'll start with capital markets. We think we took a lot of market share in Europe and Asia, and we think the quarter was for us -- in terms of market share was kind of in line with what went on with the industry. But around the world, globally, we took a lot of market share. We've taken significant market share, as you know, over the last couple of years. And we think that our capital markets team has done a really great job of connecting around the world to move the capital quickly to where the best opportunities are and to get in front of our clients with that connected capability. It's been a big difference maker for us. On the leasing side, there's a couple of things going on, and I think it's coming through in our occupier outsourcing numbers and it's coming through in our occupier leasing numbers and that is we have a very good, very connected product for occupiers enabled with a bunch of consultative capabilities, a bunch of technology capabilities, and we're able to provide solutions for them, and we've said this over and over that are -- it is increasingly hard for the competition to do. We are taking market share and we're taking market share around the world in the occupier business on the outsourcing side, on the leasing side and the numbers were pretty resounding this quarter in all three regions of the world, in that regard. And also I think it's worth noting, the global economy is in good shape and commercial real estates in good shape and the customers we serve have strong balance sheets, they're growing, they're investing in their businesses. So there's a whole lot of good stuff happening there.
Anthony Paolone : Okay. Thanks. And then lastly on Hana and that initiative. Can you give any brackets around things like how much money you expect to invest in that timeline to perhaps profitability? How big that business might be in 2019 on a square footage basis. Just any other detail around there that you could provide?
Jim Groch : Sure, Anthony. We will unpack that more at our Investor Day and a lot of it will depend on kind of the rate of the roll out and this is really important initiative. But just to give you some perspective, we're penciling in $50 million to $60 million of CapEx investment in 2019. Typical facilities should take 12 months to 18 months to breakeven, and we expect strong returns on our capital to deploy.
Anthony Paolone : Okay. And is this something, where you will be going at this, in terms of putting up the money alone or will you partner with landlords, like how will that work?
Bob Sulentic : Yes. Tony, this -- we have in a business that's rapidly growing that is flexible space. We have a model that we think is a bit unique and that is that we're going to partner with landlords. We're not going to lease space that's not the business model. We are going to partner with landlords. We're going to put in a portion of the capital. They're going to put in a portion of the capital, and then we're going to share in the leasing revenues. We'll operate the space. We'll lease the space. We'll build the space for them. And we designed this product working intensely with a bunch of our investor clients, our landlord clients and it's a product that's designed exactly the way, they wanted it to be designed. We got a very good backlog of perspective deals that we'll be talking about. We believe over the next few weeks and months. And we think it's a product that the landlords are quite excited about.
Anthony Paolone : Okay. And is the anticipation that the user of the product will be individual workers with the membership like a co-working situation or is this more of an enterprise solution for a business that needs some flexibility and you'll work with the landlord to provide that -- to that customer?
Bob Sulentic : Dramatically skewed toward enterprises about 5% to 10% of the space of each Hana facility will be dedicated toward co-working kind of traditional co-working. There'll be some space in there that's amenity space and conference rooms, et cetera, but this is -- this is for enterprise clients. And by the way, this is one of the reasons that the landlords were excited to work with us. We manage a couple billion square feet of office space around the world with 9 million people in it. We have a real connection to those occupiers, and we know a lot about what those occupiers want and we think that's going to help us be successful with this initiative.
Operator: Thank you. Our next question comes from the line of Jason Green with Evercore. Please proceed with your question.
Jason Green : Good morning. I'm just curious given kind of increase in negative sentiment in the marketplace, has that affected at all the occupier outsourcing business, the aggressiveness of some kind of corporate and institutional orders to pursue occupier outsourcing business with you?
Bob Sulentic : Look our occupier outsourcing businesses had mid double-digit growth all year long, we expect that to continue. And the market sentiment -- I assume, Jason you're talking about the stock market sentiment, the economy is in good shape, consumers are positive, companies are positive. And we're seeing good growth in that business, and we expect that to continue. By the way, the history of that business is that even when sentiment turns negative, there's impetus for growth because that's when a lot of corporations are trying to save money, and we save them money when we outsource their facilities. But we're not seeing negative sentiment at all right now.
Jason Green : Yes. I guess, in theory, even in a tough environment, the business should do well, just an opportunity for your clients to save money. But I'm just curious if you anticipate if we have some type of commercial real estate sales downturn, does that business kind of declines just for sentiment reasons or other?
Bob Sulentic : We haven't seen that historically. We haven't seen that market be tied at all to commercial real estate sales, and that's not our expectation.
Jason Green : Got it. And then just circling back to some of the strength in the multi-family lending. I know there is the potential for housing reform early next year, although that's been bounced around for the past couple of years. I guess, just kind of thinking about what risks there might potentially be or what potential benefits there might be with some type of change in GSE lending?
Jim Groch : Yes. Sure, Jason. Well, as you mentioned or I think you're indicating Mel Watt's term is ending, there could be -- there will be a new Director. I think there is some reason to believe that the new Director might take a more conservative view. On their scorecard, we can imagine there might be slight reductions in caps with the definition of what's excluded from caps. But any changes, we expect to be very measured, very carefully implemented and over a reasonable period of time. So we would expect there maybe some modest downward pressure on that, but that's our view.
Jason Green : Got it. And last question from me, just circling back to Hana. To your knowledge, have you seen kind of any other corporate players partner with landlords to try to figure out a solution to co-working space that's not your typical, WeWork, it's more geared toward kind of the enterprise and corporate client?
Bob Sulentic : There's others that are doing it, Jason. And one comment that I think is worth making here, this whole environment that we're in now, where office occupiers are looking for a different experience and for flexible space, this has been really good for our industry. I think it's one of the reasons that you've seen strong leasing growth from us. But in general, good leasing growth from the region. Office experience is one of the things that companies are using in the battle for talented employees, particularly, tech employees. And there's a lot of different ways that people are coming at this. We think the way we're doing it in partnership with the landlords is unique. I wouldn't be surprising if others do it. But it's a market today that takes about 1% of the base of the space out there of flexible space, we think that's going to grow to 5% to 10% probably, the higher end of that range. It's a big opportunity for us. It's a big opportunity for our sector. And again, because of our position with landlords and in particular, our position with occupiers, we think, we're in a really good place to take advantage of it. And here is the statistic for you that just we haven't talked about a lot, but we've done hundreds of leases representing occupiers going into flexible spaces here. So that is a big and real market.
Jason Green : Got it. Thank you very much.
Operator: Thank you. Our next question comes from the line of Alan Wai with Goldman Sachs. Please proceed with your question.
Alan Wai : Hey, thanks. Good morning. On capital markets, EMEA sales were up over 20%. I was wondering how UK did in particular, and has there been any hesitation the market once again coming out of the latest Brexit discussions?
Bob Sulentic : Well, UK was one of the strong points in EMEA and London was strong, there's a lot of Asian capital interested in London. And the London marketplace is what it's been kind of forever. It is a really, really important place for global capital go to invest in real estate and we've seen strength in the last 90 days. We expect good things to happen. There is nervousness around Brexit and we're watching that closely. But London and the UK, we're certainly strong in the third quarter.
Alan Wai : In September, Jim you talked about a bit of easier 3Q comps for EMEA sales being a factor, obviously 4Q last year was a record quarter. Do you anticipate being able to reach those levels once again?
Jim Groch : Alan, I just want to make sure, I understand your question. Is it whether or not we think we can continue to have growth in Q4 against tougher comps?
Alan Wai : Yes. That's right.
Jim Groch : Yes. We're still expecting strong growth in Q4. And we've achieved strong growth in Q3 against some tough comps as well. Q2, we had a couple of regions, where the comps were a little crazy, where the prior quarter has been up 40% and even 80%.
Alan Wai : That's great. Very helpful. Thank you.
Operator: Thank you. Our next question comes from the line of Stephen Sheldon with William Blair. Please proceed with your question.
Stephen Sheldon : Yes. Good morning. I guess first here in occupier outsourcing, you're continuing to see really solid growth there. But it seems like it might have slowed down more than at least we had expected especially with the benefit of FacilitySource. So what did organic kind of local currency growth look like in that business and am I right in thinking there was a slowdown in growth, particularly in the Americas? And then second, any update to your target of getting FacilitySource to I think it was about $270 million run rate revenue by the end of this year?
Bob Sulentic : Let's see, I would say, we think we're on track for what we projected for FacilitySource that is gross revenues. So it has a smaller impact on fee revenue than you might be expecting. Overall growth has been stronger than expected generally. We guided at the beginning the year solid mid-teens, year-to-date, we're at 18% growth in the business. As far as organic growth, year-to-date, organic growth is at 12.5%, it's 9% this quarter. It can bump around a little bit quarter-to-quarter. We think Q4 will be solid double-digit and we'll have solid double-digit -- my guess is 12% plus organic growth for the year. So the growth has really been steady and strong and that's on top of comps that have gotten tougher this year, as growth accelerated into last year.
Stephen Sheldon : Got it. That's helpful. And then how are you thinking about CBRE's opportunity in healthcare at this point. You completed the now being Noveen Consulting acquisition. So I guess, what did that add for you? And will the opportunity in healthcare be an increased area of focus here over the next few years?
Bob Sulentic : Stephen, healthcare is one of the verticals that we really focus on with our occupier outsourcing business. There are a huge number of hospital systems around the US and obviously around the world. We've got a very good foothold in that business. We serve a lot of those hospital systems but the penetration so far has been very small. We have a very strong healthcare capability. And what we're seeing in healthcare is what we've seen in other areas of the business, financial services, technology, et cetera, when you start to have outsourcing happen and the population of participants in a sector sees the cost savings that can come from that, the efficiencies that can come from that, then it starts to roll out across the sector. We're seeing a lot of momentum in healthcare. It's a big part of our future in that business. And we have built the capability to address that opportunity.
Stephen Sheldon : Great. Thank you very much.
Operator: Your next question comes from the line of Mitch Germain with JMP Securities. Please proceed with your question.
Mitch Germain : We see economic risk on the co-working venture, is that with the landlord? And then maybe second, will you guys be able to realize some incentive fees, if certain thresholds are achieved?
Bob Sulentic : Mitch. We're -- our model is to do these facilities in partnership with the landlords. So we'll put in a piece of the capital, they'll put in a piece of the -- a bigger piece of the capital generally. We'll share in proportion to the rents. We'll build the space. We'll manage the space. We'll lease the space on their behalf, on behalf of the building, but we won't have leasing risk generally in this model. We won't take leasing risk. So we'll be putting in capital, landlords will be putting in capital. Jim quantified earlier, what we expect our total capital investment next year and that's the model we're pursuing. That model is very, very exciting to the landlords because they want to keep control of the space, they want to keep control of the tenant base, in those buildings and this gives them the opportunity to do. It also gives them the opportunity to have a piece of the upside, which we'll also have of course.
Mitch Germain : Got you. That's helpful. Shifting over to development and I'm fairly certain most of that activity is happening here in the US. Have you guys shifted the way that you're underwriting some of these co-investments now in terms of your participation in some of these deals and/or the newer deals I should say, maybe any regions or asset classes that you're getting a little hesitant toward participate in?
Bob Sulentic : Mitch, we have a very intensive asset by asset underwriting process that we go through and in each local market, whether we're doing an office building, a multi-family building, warehouse building, which by the way are our three biggest product types, we also do healthcare and a little bit of retail, we look at the local sub market circumstances and then the macro circumstances around that as we underwrite these assets. It's something that we do very intensively, nothing about that has changed. And in general, the markets around the US -- and it is a domestic US business for us today, the markets around the US remain healthy. There's not a lot of vacancy. Unlike any cycle, we've seen in my career, there's not a lot of circumstances that appear where they maybe overbuilding. But we continue to underwrite these assets very rigorously.
Jim Groch : And Mitch, I would just add. We've got a total of $92 million of co-investments in and total recourse repayment guarantees and outstanding debt balances of $8 million on the $12 billion that's in process. So this is -- we go -- we're not changing the way we approach the business at all and the capital structures are pretty conservative.
Mitch Germain : That's helpful. And then I think my last question. Bob, I'd love to get maybe sort of a greater discussion maybe around the reorganization that was announced in August. Certainly you guys have been an incredibly successful company over the last decade or more. So some would argue was it necessary, I just love to gain some insight regarding yours, maybe the Board's thinking toward this change and what to expect from it?
Bob Sulentic : Well, it's the first question, I get as I go around the world and talk to our people, why change. It was the first question I got from our Board. Things are going well. We're in our ninth year of double-digit earnings growth, we've taken market share, our clients are happy and getting happier. So why change. And the reason for it Mitch is the following. If you don't change, the world around you is going to change and start to impose some failure on you, then you're going to be changing from a point of weakness, not strength. We're in a very strong position today, but we saw opportunities to do some things better. We had a real opportunity to put some super compelling leaders in more impactful positions and we got that done. We had an opportunity to have greater lines of -- clear lines of authority in our business with greater accountability. We for sure have gotten that done. We’ve put more emphasis on the quality of our product lines, which is really good thing for our clients. We’ve put more emphasis on our client care program, really good thing for our clients. The marketplace that invests in our stock wanted to have greater transparency into the performance of our various lines of business, and in particular, in our outsourcing business, we've done that. And we think that's going to force greater transparency in our whole sector. Then another thing, we're getting out of this that's important is, we're going to be more efficient, more cost effective as an enterprise. So those are all the things that drove this. We're a couple of months into implementing it. We're very, very encouraged about what we're seeing.
Mitch Germain : Thank you.
Operator: Thank you. Our next question comes from the line of Jade Rahmani with KBW. Please proceed with your question.
Jade Rahmani : Thanks very much. In terms of the real estate investor talent, what do you think the appetite for continued growth in acquisitions and refinancings will be in 2019? I've seen several surveys showing continued growth in investor allocations in terms of the targets?
Jim Groch : Yes. Yes. Jade, this is Jim. We are seeing a very healthy market. Our pipeline in the mortgage origination side is as strong as it's ever been. Spreads on the debt side getting tighter, I think are an indication that the bid-ask spreads are coming together as well on the acquisition side. So the market feels healthy and balanced and with a good bit of liquidity. And also not -- at the same time seems not getting overheated. It seems that the discipline is still there.
Jade Rahmani : In terms of the number of bidders on transactions, how is that been trending over the past couple of quarters?
Bob Sulentic : Jade, the fact of matter is, there is an awful lot of capital out there looking for acquisitions. And by the way some owners of acquisitions that might otherwise sell are not exiting assets because they can't find replacement assets. So there's plenty of bidders for -- there is plenty of debt, and there's plenty of equity for the assets that are in the marketplace and that's why you continue to see a healthy market.
Jade Rahmani : When you look at the outlook for 2019, what do you think poses a greater risk, the potential increased interest rate from the Fed's actions or that the ongoing trade tariff issues?
Bob Sulentic : Yes. I don't think either of those are our biggest risk right now. We're watching both of them closely and there's some concern about both of them in the market. I think the bigger risk is, we're in a good global economy and the tech companies and the other companies that really value talent continue to hire. I think the -- and unemployment here and in other countries is low. I think the bigger risk is that it may start to get tough to hire employees and that may force some inflation that could create some issues eventually. That's probably what we line up as the biggest concern right now. But again, we're watching interest rates, and we're watching the trade circumstance in there, the real things to be focused on.
Jade Rahmani : The commercial lending business has been an area of outperformance lately. I was wondering, if you have any insight or data about what the in-place cost of that is, for holders of commercial real estate. I think according to the MBA, there has been about 3 trillion of commercial real estate originations this cycle and something we've seen played out in the residential market, is that the weighted average cost of borrowing in place is much lower than current mortgage rates and that's starting to impact transaction volumes? Do you have any concerns about that playing out in 2019?
Jim Groch : I think the expectations through -- for 2019 are largely baked in today and obviously we've seen rates go up, but that's been at least partially offset by compressing -- compression in the spreads. So overall activity, it still feels like a pretty healthy environment for activity. And I think the commercial side is, it does have some differences obviously to the single-family home side. But all of this is based on what we expect in the marketplace today, if things changed materially from that then that would create new situation.
Jade Rahmani : On the leasing side, do you view the last two quarters of acceleration as sustainable?
Bob Sulentic : Well, look, I don't suspect that we're going to indefinitely be able to grow our leasing business at mid-teens plus rates. But we do think that the economy in the US and the economy around the world is good. We do really think that we have a solution for occupiers, an integrated solution, and a solution for tenants looking to lease space that puts us in a position to effectively grow market share. So we expect to see good strength out of that business going forward. What we saw this quarter was pretty special result.
Jade Rahmani : In terms of the reorg, do you think that it is expected to drive increased coordination between key producers at the business line level? Should we expect teams of investment sales, mortgage brokers and leasing producers to go in on deals together? Is that going to be a big initiative?
Bob Sulentic : One of the key things that we wanted to get done with that reorganization was to strengthen their line of business side of our matrix, that's the side, where we have our capital markets leadership, our advisory and transaction services, which is our tenant leasing leadership, our valuations leadership, our project management leadership et cetera. The goal of that group is to bring the CBRE enterprise to our clients. And then, of course, we have this client care initiative that helps us get that done as well. We absolutely expect to accelerate our ability to bring the enterprise to solve the needs of our clients under this new organization. That's one of the key goals.
Jade Rahmani : And just turning to the M&A pipeline, where you're seeing the most interesting opportunities, if you could make any characterization by business line. And also, if there were a large scale opportunity, what businesses do you think it would be likely to be in?
Jim Groch : Sure. Well as you might expect, I won't get that specific. And the larger opportunities come along when they're available every few years. The -- and the pipeline on infill remained strong. I mean we're really opportunistic I would say around looking for the -- a very high quality businesses that bring leverage to our platform and that can be, frankly, that can be in any of our lines of business, in pretty much any region in the world. But we've been at a pretty steady pace, the market feels rational, and you've seen us pull out when it's not rational. Right now, I think it's kind of in a good place.
Operator: Thank you. Our next question comes from the line of Patrick O'Shaughnessy with Raymond James. Please proceed with your question.
Patrick O'Shaughnessy: Hey, good morning guys. So you talked a lot about the owners, and you also run your own investment management and development operations. So what's your take on why cap rates haven't meaningfully moved up so far?
Jim Groch : Well, it's not something recent quarters obviously, it's been going on for several years now. I think I'd offer a couple of points. One is that the spreads on cap rate -- the spreads versus say 10 year treasuries or BBB bonds, whatever you want to look at, are generally not far from the midpoint of where those spreads have been historically. And so while we've seen interest rates come up a bit, the spreads have compressed. I think fundamentally at the end of the day, real estate is a reasonably priced asset class as compared to other alternative investments. And the markets, strongly development has been in check, with that you have rational, reasonably the rental increases over time will continue. And I think the increases have been absorbed with some spread compression.
Patrick O'Shaughnessy : Got it. That's helpful. Thanks. And then your net debt-to-EBITDA 0.8 times at the end of the third quarter, your valuation is at relative lows right now. Are you at a point, where you might start to think about share repurchases or do you still feel like you have better uses of your excess capital?
Jim Groch : Well, we have invested virtually all of our free cash flow over the last few years around M&A. What I'll say though is that we've been in a blackout period since mid-September, had we not been, we would have been buying shares under our existing authorization.
Operator: Thank you. Our next question comes from the line of David Ridley-Lane with Bank of America Merrill Lynch. Please proceed with your question.
David Ridley-Lane : Thank you. So CBRE had a couple of high-profile recruits recently. Wanted to touch on how headcount has trended in leasing and capital markets, either year-to-date or what you're targeting for 2018?
Bob Sulentic : Well, David, we've had a really good year for recruiting and our recruiting is tracking ahead of last year and ahead of our expectations for this year and we expect that to continue. What's becoming clear to us as we recruit is that these professionals who want to come to a place where they can do more for their clients and there's just no doubt based on the results we're having that they're seeing that here that our platform, our technology, our consultative tools, our ability to connect to serve clients around the world, it's making it easier and easier for us to bring people on board.
David Ridley-Lane : Great. And then, I know this is a tough one to ask. But within your growth in leasing over the last 12 months, you're clearly growing mid-teens, any way to conceptualize, how much of that is coming from these differentiated offerings, from cross selling occupier outsourcing clients, for example? Or said differently, why do you think the market has been growing over the last year or so? And how much market share you've been taking?
Bob Sulentic : Well, in this quarter we know that I mean we grew probably 10 points faster than the market grew. We know that something like half of the new leasing work we're doing is account-based. We know that account-based work comes because of our platform, because of our capabilities around the world, our ability to bring different products to these clients. So there is just no doubt, it's a differentiator in attracting clients. It's also a differentiator you know, and answer to your first question, in attracting talent, which of course, then you circle back and because of that talent, you attract more clients. So I think it's all working together. Our occupier business is really strong. Our outsourcing business, and our advisory and transaction service, tenant leasing business are really strong and it's all working really well together.
David Ridley-Lane : Alright. Thank you very much.
Operator: Thank you. There are no further questions. At this time, I would like to turn the call back over to Mr. Sulentic for any closing remarks.
Bob Sulentic : Thanks everyone for being with us, and we'll talk to you in about 90 days when we report our year end results.